Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s 2017 Financial Results and 2018 Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Today is Friday, March 9, 2017. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Fred Earnest: Thank you. Good morning, ladies and gentlemen. Thank you for joining Vista Gold Corp.’s 2017 annual financial results and 2018 corporate update conference call. I am pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO and Connie Martinez, our Director of Investor Relations, both here with me in our corporate office in Denver. In 2017, we laid the groundwork for some very significant advancement in our Mt. Todd gold project. Technical work and extensive process area testing paved the way for the improvements in the economics of the project that were announced on January 24 with the announcement of our updated preliminary feasibility study results. Two days prior to that, we announced the approval of our final major environmental permit. We are understandably very pleased with the work that has been completed and the results that we have announced. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the time over to Jack Engel.
Jack Engel: Thank you, Fred. Good afternoon, everyone or excuse me, good morning everyone. I will start with our statement of income and loss for the year ended December 31, 2017. We reported a net loss of $12 million or $0.12 a share for the year ended December 31, 2017. This includes $10.8 million of operating expenses and $1.2 million mark-to-market loss on our investment in Midas Gold Corp. The main components of the $10.8 million of operating expenses include $2.4 million of fixed site management cost at Mt. Todd, about $3 million of fixed corporate G&A costs, about $1.5 million of non-cash stock-based compensation and depreciation and about $3.8 million in discretionary programs. The biggest of which was work permitting, ore sorting and met testing programs and the substantial completion of our Mt. Todd PFS update. 2017 fixed cost at Mt. Todd in Australian dollar terms were substantially unchanged from 2016. Similarly, corporate G&A fixed costs are consistent with our 2016 costs. Turning to our balance sheet for 2017, our working capital totaled approximately $19 million on December 31, 2017, which included cash and treasury bills of about $16.6 million. This is down about $7.3 million from our year end 2016 treasury balance.. The cash consumed in operations was as already discussed and this is net of about $1.8 million net proceeds received from the Guadalupe de los Reyes as option payment in October and about $350,000 of net proceeds received from the sale of our Long Valley claims in California. The mark-to-market value of our remaining 7.8 million shares of Midas Gold Corp at December 31, ‘17 was about $3.7 million. Although we note that we have about a 50% increase of net value since the end of year. The company continues to be debt free. Looking ahead through 2018, we expect to complete additional crushing, ore sorting and grinding tests as well as some geophysics and a modest drilling program on our exploration licenses or ELs with particular focus on a target called Wandi, which is an IOCG target. We are also planning a drilling program at Quigleys, which we believe could be a future source of supplemental higher grade mill feed. With a treasury of about $16.6 million, we have the funding on hand to complete these programs and to fund our fixed costs well beyond 2018. We continue to pursue non-dilutive financing opportunities, including the sale of our used mill equipment and the future option payments for the Guadalupe de los Reyes project in Mexico. In addition, we have the ability to sell some or all the remaining Midas Gold at some future date. In Q4 2017, we entered into an at-the-market or ATM agreement, which gives us the right, but not the obligation to issue up to $10 million of equity. We view this as a low-cost means of assuring that we maintain our financing flexibility. We have no immediate plans to use the ATM, but like insurance, we feel it’s prudent to have in place. That concludes my comments. Over to you, Frank.
Fred Earnest: Thank you, Jack. I will first address the environmental authorization that we received and then discuss the updated PFS results in greater detail. First, in 2014, we received the approval of the environmental impact statement for the Mt. Todd gold project. The EIS was reviewed and approved by the Northern Territory Environmental Protection Agency. This approval represented the achievement of a very important milestone in the development of the project. Soon after receiving this approval, the Commonwealth Department of Environment and Energy advised our Australian subsidiary that upon reviewing the approved EIS that concluded that the Mt. Todd project would be required to seek an additional approval under the Environmental Protection and Biodiversity Conservation Act of 1999. The company prepared and presented a comprehensive package requesting authorization of the activities related to the Mt. Todd project in December of 2015. Following review by the agency, Vista spent much of the succeeding 18 months responding to request for additional information. We have worked with local stakeholders, NT agency officials and academic experts and are pleased to be partnered with experts and institutions that demonstrate commitment and innovation in helping us to achieve our common goals. The formal notification of the approval of our request for authorization of a controlled activity was received on Monday, January 22 by our Australian subsidiary and publicly announced to the North American markets that same day. The EPBC authorization requires that we next submit detailed monitoring and mitigation plans based on the conditions of the approval. I am pleased to report that this work has already commenced. Combined, the EIS and EPBC authorization constitute the two major environmental permits required for the development of the Mt. Todd gold project. We are pleased that we have reached the second and very important environmental milestone. I will now focus on the results of the preliminary feasibility study. In 2016, we began an effort to review all aspects of the Mt. Todd development plan focused on improving the economics of the project. We have incorporated automated sorting technology and made design changes in the grinding circuit. These process or improvements have allowed us to achieve operating cost reductions, gold recovery improvements and increased gold production. The results of the updated PFS were released using a $1,300 gold price and an $0.80 U.S. per Australian dollar foreign exchange rate. We believe these important economic factors are indicative of current market conditions. The results demonstrate that the Mt. Todd project is a robust project at current market conditions. As reported in our January 24 press release, the results of the updated PFS include estimated proven and probable reserves of 5.85 million ounces consisting of 221 million metric tons with an average grade of 0.82 grams of gold per metric ton. Average annual production of 382,000 ounces of gold per year over the life of the project, including average annual production of 479,000 ounces of gold per year during the first 5 years of operations, life of mine average cash cost of $645 per ounce, including average cash cost of $571 per ounce U.S. during the first 5 years of operations of 13-year mine life. Initial capital requirements now estimated to be $839 million have dropped 20%. And finally, an after-tax NPV with a 5% discount rate of $679 million and an internal rate of return of 20.5%, again at a $1,300 gold price and an $0.80 foreign exchange rate. These are the results of technical changes in the Mt. Todd project. Allow me to describe these changes and the benefit that each brings to the project. First of all, automated sorting, the gold that the Mt. Todd project is associated with sulfide mineralization and quartz veining. We have identified and extensively tested two off-the-shelf sorting technologies that allow us to separate material with a high likelihood of containing gold for material that would be uneconomic to process. The first sorting step is known as x-ray transmission or simply XRT. In this step, the rock is x-rayed on a moving belt. Sensors below the belt detect the presence of sulfide mineralization due to its higher density. Once detected by the sensors, the computer maps the location of each particle containing sulfide minerals on the belt and at the end of the belt, computer-controlled compressed air blasts separate particles with sulfides from those without. The rejected particles some of which include quartz veining are then sent to a second sorting step. In this step, the rock is analyzed by lasers. The black host rock does not react to the laser light, but the quartz diffracts the light allowing identification, once this identification has been made, computer-controlled compressed air blast again separate the rocks with quartz from those without. Testing has indicated that this two-step sorting process can be expected to reject approximately 10% of the run of mine feed as uneconomic material. This material is removed from the plant without any further processing. The benefit of sorting is operating cost reductions, because grinding, leaching and tailing costs are directly related to the volume of material processed decreasing the feed to the grinding circuit by 10% results in a 10% reduction in these costs. As the grinding, leaching and tailing costs are the more significant part of our processing costs, this results in a very significant savings for the project. Next, the grinding circuit, after successfully testing the automated sorting technology, we turned our attention to the grinding circuit. Previous testing demonstrated that grinding to a finer size would allow increased recovery. We began investigating efficient means to achieve a finer grind size. Ultimately, this led to removing the single extremely large ball mill from each module to plant and replacing it with a ball mill approximately two-thirds of size. We are able to achieve this reduction in grinding mill size by pushing some of the work to the HPGR crushing circuit, which will crush 10% less material. We now plan to crush to a final size of approximately one-eighth of an inch down from one-quarter inch. The crusher product is wet screened and the course final product goes to the resized ball mills. Additional testing has demonstrated that two-stage grinding is more efficient than the single stage grinding previously contemplated. We have incorporated the second stage of grinding, which allows us to decrease the size of the grinding circuit product from nominally 90 microns to 60 microns. This in turn results in improved gold recovery. Testing indicates that our gold recovery will increase from 81.7% to 86.4%. On its own, this is a noteworthy achievement. What makes it more significant is that we achieved this smaller grind size at an increased recovery with less power. This is possible because we are grinding approximately 10% less material. We have replaced the very large and high horsepower ball mills with more efficient mills and are getting final product out of the circuit at the earliest possible stage. So, we are not wasting power trying to grind material that is already at final product size. The end result is that we can now expect to produce 4.1% more gold net of sorting losses from the same plant feed with the lower operating cost. I am sure that everyone on the call today appreciates the significance of these complementary achievements. Let me talk about what’s next. Over the course of the next 4 to 5 months, we will be completing optimization studies that have been identified as potential sources of additional economic or social benefits of the project. We are evaluating our strategic alternatives for the development of the project. Ultimately, we are seeking the best way to achieve a reevaluation of the company and the Mt. Todd gold project. Our priority is to achieve a valuation that is reflective of a very large project in a low risk jurisdiction with favorable costs and robust project economics. Add to this the permitting status of the project, the ease of access and the existing infrastructure and you have a technically advanced project that is presently a significant investment opportunity for the astuted investor. Our mill equipment continues to be held for sale and we have one credible expression of interest evaluating the equipment at this time. A.M. King Industries continues to market the equipment package. In conclusion, our Mt. Todd gold project is the largest single deposit undeveloped gold project in Australia, with 5.85 million ounces of proven and probable reserves, Vista controls the third largest reserve package in Australia. This project is ideally located in the northern territory of Australia with paved roads to the site and other existing infrastructures such as power lines, a natural gas pipeline, freshwater storage reservoir and tailings in prominent facility. We have achieved significant milestones and now have in place the foundation for creating improved shareholder value. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. I am pleased that we have crossed the permitting threshold and are now part of an elite group that can state that they hold all major environmental permits. I am excited about the results of the updated preliminary feasibility study. I would reiterate that these results are the outcome of technical improvements to the project. They are based on our extensive technical testing. For more detailed information, I refer you to the Canadian National Instrument 43-101 report that has been published on SEDAR and is also available on our corporate website. For a more comprehensive assessment of the value-added or accorded to Vista and the Mt. Todd gold project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. There you will be reminded that we presently trade at approximately 0.1 times NAV compared to our peers trading at an average of 0.6 times NAV. This represents a significant opportunity for an increase in shareholder value. Mt. Todd is a well advanced and technically derisked gold project. All major environmental permits are in hand and accomplishment attained by very few of our peers. It has the potential to be the fourth largest gold producer in Australia with lowest quartile cost. It is favored with easy access and excellent existing infrastructure all in the mining friendly jurisdiction of the northern territory. We believe all of this adds up to an exceptional investment for the gold investor looking for growth potential and leverage to the price of gold. This concludes my remarks. We will now respond to any questions from participants on the call.
Operator: [Operator Instructions] Your first question comes from Heiko Ihle with HCW Wainwright.
Heiko Ihle: Hey, guys. Thanks for taking my question.
Fred Earnest: Good morning, Heiko.
Heiko Ihle: Congratulations on a good 2017. There is a lot of progress here in moving Mt. Todd forward, so well done. You recently filed an improved NI 43-101 for the site, congratulations on that as well. This might be a little more philosophic, but two things on that. Does this increase the interest from outside party? I mean, I’d assume it did given the improved economics of the site.
Fred Earnest: Well, certainly, as you are aware and others on the call maybe aware earlier this week, the Producers and Developers Association of Canada held their annual conference in Toronto. That was a very successful conference for us. We had a lot of traffic past the booth. And I think part of that was generated by the announcement of results in January, part of it was generated by the fact that the report is now available and people can get their hands on it, review it. So, I think those combined factors have certainly increased the awareness of Vista Gold and the value of the Mt. Todd project.
Heiko Ihle: Fair. Have you done a lot of metallurgy and grinding size work there for the automated sorting, has this made lately any impact on your preference for the 33,000 versus 50,000 ton per day scenario that you have discussed in the past?
Fred Earnest: No, the same technology is applied to both of these cases. Obviously, as we as we did in the previous preliminary feasibility study, we have reported results of the base case as the 50,000 ton per day case. It has the better economics. The 33,000 ton per day case has been designed as previously to be expandable. It benefits from lower capital costs and slightly lower project economic returns, the lower CapEx is not proportional to the decrease in size that’s just not the way it works, but the technology has not steered us towards one or the other at this point in time.
Heiko Ihle: Got it, okay. And then just finally you own a bunch of shares at Midas, almost 8 million shares, you made no sales in 2017. At what point in time should we expect you guys to monetize that stock? I mean, Midas has done extremely well in January of this year and you are sitting on a huge paper profit for the year on that thing?
Fred Earnest: That’s a very interesting question. You are asking us to telegraph a corporate decision that’s not been made. We continue to be very supportive shareholders of Midas Gold and the management team there you’ll recall that that Midas has traded at substantially higher valuations in the past. Our investment was originally priced at something closer to $3.25 and while that the significant improvement that Jack referenced is a very noticeable improvement and we are very delighted in what that’s done to the value of our investment. It still represents a significant discount to the original value that we put into Midas Gold. And we look at this on a regular basis and we will take decisions going forward as appropriate, Heiko. We are not in a position at this point in time to say that we are actively evaluating a sale of those shares at this point in time.
Heiko Ihle: Very good. Thanks, guys.
Operator: [Operator Instructions] And we have no further questions at this time. I will turn the call back over to the presenters.
Fred Earnest: Very well. We would like to take this opportunity to thank all of you who have joined the call this morning. As I indicated at the start of the call, 2017 was a very significant year for us in laying the groundwork for what we were able to announce in January. The results of the testing have been very significant. To dispel any potential misconceptions, the results that we announced in January were not the result of any economic engineering, but rather they are entirely based upon the results of the improvements resulting from the automated sorting and the associated reductions in our operating costs, followed by the benefit that comes from the redesign of the grinding circuit and the improvements in lower power consumption and most notably the improved gold recovery and the associated increase in projected gold production. We are very excited about this. We now, without permits in hand, feel that Mt. Todd is a project that stands apart in a sea of development projects as being a very large project, technically advanced, environmentally permitted and we are now working to achieve a revaluation of the project and Vista Gold Corp. We invite those who maybe interested in learning more to visit our website or reach out to company personnel directly, where we will be happy to spend time with you and help you understand the significant changes and the reason why we are so very optimistic about the Mt. Todd project in the future of Vista Gold. Thank you for joining us and have a very pleasant day.
Operator: This concludes today’s conference call. You may now disconnect.